Operator: Good day and welcome to the Energy Focus Second Quarter Earnings Release Conference Call. As a reminder, today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Brion Tanous. Please go ahead, sir. 
Brion Tanous: Thank you, operator. I’d like to welcome everybody to Energy Focus’ Fiscal Year 2012 Second Quarter Earnings Conference Call. On this call, the Company’s Chief Executive Officer, Joe Kaveski will give a business update on the Company’s solutions, products and government businesses as well as provide an outlook for the third quarter of fiscal year 2012.
 The Company’s Chief Financial Officer, Mark Plush will provide greater details surrounding the Company’s second quarter financial results. We also have John Davenport and Eric Hilliard on the call with us this afternoon. Following prepared remarks, we’ll open it up for questions for the remainder of this call.
 Before we get started, I am going to read a disclaimer about forward-looking statements. This conference may contain in addition to historical information, forward-looking statements within the meanings in the Federal Securities laws regarding Energy Focus. Forward-looking statements include statements about plans, objectives, goals, strategies, future events and performance and underlying assumptions and other statements that are different than historical facts. These forward-looking statements are based on current management expectations and are subject to risks and uncertainties that may result in expectations not being realized, and may cause actual outcomes to differ materially from the expectations reflected in these forward-looking statements.
 Potential risks and uncertainties include change in demand for the Company’s products, the impact of competition and government regulation and other risks contained in the statements filed from time to time with the SEC. All such forward-looking statements whether written or oral, made on behalf of the Company are expressed to qualified by these cautionary statements. And such forward-looking statements are subject to risks and uncertainties and we caution you not to place undue reliance on these.
 With that, I’d like to turn the call over to Mr. Joe Kaveski. Joe? 
Joseph Kaveski: Thank you, Brion and good afternoon, ladies and gentlemen, and thank you for joining our second quarter 2012 earnings call. Today, I’d like to offer some brief comments on the Company’s second quarter financial results, progress that we’ve made in some of our business units, and an accelerant that is likely to increase our LED products and SRC Solution sales. I would then like to offer you some guidance towards our anticipated third quarter and year-end results.
 So to begin, I am very pleased to report that our second quarter sales were $7.7 million and fell within our guidance of $7 million to $8 million. This represents a 45% sequential increase in overall net sales from our first quarter and was driven by strong growth in our LED product sales. In our overall gross profit margins for the second quarter improved over 7 percentage points from our first quarter and are up over 3 percentage points over our second quarter last year.
 Furthermore, our operating expenses for our second quarter were slightly less than our first quarter. Additionally our year-to-date operating expenses are down over 23% when compared to the same 6 month period last year. Those increased sales in gross margins coupled with our expense reductions, all contributed to the narrowing of our EBITDA loss which was $470,000 for our second quarter. This represents a $1.1 million improvement for the first 6 months of this year when compared to the same period last year.
 So as we look to the performance of our business units, our R&D team made good progress on 2 fronts during our second quarter. First, they secured another contract for the military. This contract worth approximately $900,000 is to develop a next generation lighting fixture for the U.S. - for a future U.S. Navy vessel. Like our smaller berth light that has been sailing in the Virginia class nuclear submarines for almost 2 years, this new fixture will utilize a larger version of Energy Focus’ IntelliTube’s optical waveguide technology.
 I am also pleased to announce that our R&D team made significant progress on the development of a 4-foot commercial version of IntelliTube. We’ve already confirmed its superior construct and are now working with our suppliers for a commercial launch anticipated to be late 2012, early 2013. As for our existing military version of IntelliTube, sales are progressing as expected. During our second quarter, the Company secured another large release for IntelliTube under our $23 million Navy contract. We expect to ship the majority of this release within the third quarter.
 And the Company continued to make progress on our SRC Solutions business. As we previously communicated, we’ve added new sales representation, expanded our geographies and more than doubled our customer base. As a result, the quality and quantity of the projects in our sales pipeline has dramatically improved and is growing. And last month, we hired a new General Manager, James Karoli [ph] to lead the SRC Solutions business.
 James brings with him extensive knowledge and experience in the energy services industry. Prior to joining Energy Focus, he dramatically grew public sector sales with one of the larger energy services company. His background will surely benefit Energy Focus as the Company seeks to create competitive advantage and grow by promoting our LED product into the public sector building.
 To that end, it appears that the stars may be aligning from Energy Focus. On December 2, 2011, the President issued a memorandum to the heads of all Federal executive officers and agencies. In the memorandum, the President stated that the Federal government shall enter into a minimum of $2 billion in energy savings performance based contracts in Federal buildings prior to January 2014. Because of this, the U.S. government has just launched their energy savings performance contracting Enable initiative to fulfill the President’s directive.
 The Enable initiative is designed to reduce the award time to less than 15 weeks in implementing energy efficient lighting upgrades, water conservation and basic control in federal buildings under 200,000 square feet, which by the way represents the vast majority of Federal buildings. Now we expect to see these projects start to enter into our sales pipeline in our fourth quarter. Clearly, Energy Focus through its ESCO partners is well positioned to excel in the Federal ESPC Enable initiative because of our leading energy efficient LED lighting products and our ability to provide their turnkey installations through our SRC Solutions business.
 Now as we look to our third quarter and year-end, the Company expects to see significant increases in sales and notable gross margin improvements with continued emphasis on spending control. This is due to the strengthening in our solutions business as a result of dramatically improved sales pipeline and the improving market conditions. Additionally, military LED product shipments to the Navy from our $23 million contract and from continued sales of our commercial LED products.
 In our third quarter, the Company expects sales to range from $9.5 million to $10.5 million range, which will be more than a 20% improvement over our second quarter. Furthermore, the Company expects to be EBITDA positive in the second half of 2012. So in conclusion, the Company recognized that there is a great deal of uncertainty in the world’s governments and economies that could tamper the timing of our anticipated results. Recognizing that, I remain excited about our teams’ progress in positioning the Company for significant growth, especially in penetrating the $300 million U.S. Navy opportunity as well as the multi-billion dollar opportunity to upgrade lighting in existing buildings.
 I believe that today, the Company is at an important inflection point as we become EBITDA positive. Quite simply, the Company has developed the right products for the right markets and at the right time. I am looking forward to an exciting second half of the year 2013 and well beyond.
 So now I’d like to turn the call over to Mark Plush, our Chief Financial Officer for further details on our second quarter financial results. Mark? 
Mark Plush: Thank you, Joe. Good afternoon, everyone. Net sales of $7.7 million for the second quarter of 2012 decreased $521,000 compared with the prior year’s second quarter sales of $8.2 million. The decline in sales was due primarily to $1.2 million of lower sales from our SRC Solutions business, which was partially offset by a $718,000 increase in product sales as a result of higher sales of LED products. We did not record material sales during the second quarter for U.S. Navy products as the current release date calls for shipping products during the third quarter.
 Gross margins were 22.2% of net sales versus last year’s second quarter gross margins of 18.9% of net sales, a 3.3 percentage point increase or $156,000 increase. The increase in gross margins was due primarily to higher gross margins at our Solutions business, towards 20.3% of net sales of this year compared to 11.9% last year. Additionally, there was favorable mix as product sales represented approximately 72% of total sales and that segment has a higher gross margins than the Solutions segment.
 Operating expenses for the second quarter of 2012 were $2.4 million, compared with the prior year’s $2.5 million, a 4% decrease due to lower sales in marketing expenses. Second quarter’s loss before taxes was $897,000 compared to a loss before taxes of $1.2 million in the prior year’s second quarter. This reflects an improvement of $272,000 even though sales decreased $521,000. The improvement was due to higher gross margins, and slightly lower operating expenses.
 It should be noted that sequentially compared to the first quarter of 2012, net sales increased $2.4 million or 45%. Gross margins as a percentage of net sales were 22.2% compared to the first quarter’s gross margins of 14.8%, 7.4 percentage point improvement. Further the loss before taxes narrowed to $897,000 versus the first quarter’s loss of $1.9 million.
 The 6 month period ended June 30, 2012 net sales were $13 million compared with $13.7 million for the last year’s comparable period, a $679,000 decrease. The decrease in sales was primarily the result of $2.2 million of lower sales from our SRC Solutions business, partially offset by a $1.5 million increase in sales from our products business. We recorded revenue of approximately $1 million for the 6 month period related to the U.S. Navy contract.
 Gross margins decreased $218,000 on $679,000 of lower sales for the 6 month period ended June 30, 2012 compared to the prior year. Gross margins were 19.2% of net sales, compared to the prior year’s 19.8% of net sales, a slight decrease. The decrease in gross margins was due primarily to lower sales.
 Operating expenses for the 6 month period ended June 30, 2012 were $4.9 million compared to the prior year’s comparable period of $6.4 million, a decrease of $1.5 million or 23%. Cost decreased across all functional areas. The loss before taxes for the 6 month period ended June 30, 2012 was $2.8 million compared to $4 million for the prior year’s comparable period, a $1.2 million improvement on a sales decrease of $679,000.
 The improvement was a result of $1.5 million of lower operating costs, partially offset by $218,000 of lower gross margins resulting from lower sales. Cash at June 30, 2012 was $627,000. The decrease in cash was due to cash used for operating purposes including $2.3 million decrease in accounts payable and accrued liabilities. Cash used in operations during the 3 month period ended June 30, 2012 was $1.7 million, $1.1 million of which was for working capital increases and $673,000 in losses incurred during the quarter.
 Inventory turns at June 30, 2012 were 10.1 turns, an improvement from 7.4 turns at March 31, 2012 and DSO was approximately 58 days. DSO decreased 12 days for March 31, 2012 as a result of collecting receivables from the early buy program that we offered to our pool lighting distributors. Third quarter sales guidance of $9.5 million to $10.5 million reflects projected sales to the U.S. Navy under the $23 million contract, as well as an increase in our SRC Solutions business.
 With that I’ll turn the call back to Kevin for questions. Thank you. 
Operator: [Operator Instructions] We’ll go first to Robert Smith with the Center for Performance Investing. 
Robert Smith: Do you think you could share some growth margin targets for third and fourth quarter? 
Joseph Kaveski: Robert, we do not forecast. We do not give specific guidance to our gross margin targets. What I can tell you is longer term what we are looking for, for running this business our gross margins in the upper 20% to lower 30% range, but again we are not giving specific targets for the third and fourth quarters. We just don’t give that guidance. 
Robert Smith: Okay, so when you say longer term targets reachable and what kind of timeframe? 
Joseph Kaveski: Clearly in the next 12 months. 
Robert Smith: Okay. I heard the kind of caveat about so-called I guess the world facing fiscal cliff and government - lack of government budget and continuing resolutions and all of this, so how much of the third quarter revenue range is really firmed out, in other words is $9.5 million kind of truly a bottom? 
Joseph Kaveski: That’s the guidance that we’ve given, Robert. 
Robert Smith: Okay. But so would you say that's not dependent upon the idiosyncrasies of the government situation at the moment in spending? 
Joseph Kaveski: Well Robert, your guess is as good as ours, but I mean you’ve got effectively a potential administrative change which would occur in the fourth quarter. You’ve got the potential fiscal cliff that hopefully will be avoided in the first quarter of next year. So your guess is as good as ours, but I think we just all have to recognize that and continue to strive to grow our businesses. 
Robert Smith: But I mean the third quarter range, I mean the bottom end of that range is that - can that be influenced? 
Joseph Kaveski: We feel pretty good about the range that we’ve given on the third quarter. 
Robert Smith: Okay. And how about your cash position going forward, about the ability to fund the business? 
Joseph Kaveski: Yes Robert, we have a credit facility where we are basically providing collateral with our receivables. So we borrow what we need and we don’t want to pay any more interest than what we have to pay. So our cash position is really at any given point in time is really more of a function of what we need to run the business for the next week. 
Robert Smith: Okay. So there are no fears in that respect near-term? 
Joseph Kaveski: No, we think that our current financing is sufficient. 
Robert Smith: Okay, can you give some color about the present state of the R&D efforts? 
Joseph Kaveski: Beyond what I’ve already given? As I mentioned, we are delighted by the progress that the R&D group has made, and the development of our 4-foot version of IntelliTube, I mean that is truly the Holy Grail. We’ve actually expedited the development of that. We are utilizing what we believe are the absolute state of the art pushing the bubble there. So we’re on track to basically bring that product to market in the near-term. 
Robert Smith: And by taking it to market - how do you create a sizable market? 
Joseph Kaveski: I think the sizable market exists already out there right now, I mean the fact is that in the U.S. alone there is over 70 billion square feet of non-residential lighted space and out of that 70 billion square feet, the predominant technology is the 4-foot linear fluorescent. 
Robert Smith: So how are you going to tap into it, I guess is the better question? 
Joseph Kaveski: We believe that the government sector will be one of the first to tap into it because of their value equation. So the evidence that we think we’re on track here is the fact that last quarter we announced a $1.8 million order for basically a large LED product sale. 
Robert Smith: So with a large market opportunity like that, I mean how much is possible of government business that is presently there, I mean what is the size of the government market that could... 
Joseph Kaveski: Sure, well let me just tie it to back to the program that I just announced. I talked about the fact that the President had issued basically a memorandum to government agencies and executive offices that basically said, "You need to move forward with basically doing $2 billion minimum in performance-based contracting in these Federal facilities and get them under contract by the end of 2013." So it basically - there are 3 scopes of work under this Enable program. One of them is water conservation, one of them is rudimentary controls and the third one is lighting. So if at minimum 1/3 of that $2 billion was lighting that’s a big number. 
Robert Smith: So if all the government facilities would change their 4-foot fluorescent lighting today, what kind of a market size is that? Do you have any idea? 
Joseph Kaveski: I can tell you, I don’t have a calculator in front of me but out of the 70 billion square feet of non-res lighted space, the government basically said that 30% of it is government buildings. 
Operator: [Operator Instructions] We’ll go next to Ted Brown [ph]. 
Unknown Attendee: I am confused about how many shares of stock will now be outstanding after this new registration. And I am reckoning somewhere around 55 million shares. Also I am a little curious about some of the details of the recent financing and the fact that you’re now just embarking on registering I guess 29 million. Was any of the stock, do you think is going to find its way quickly into the market. Let’s not have another David Gelbaum situation. Could you get me some assurances about what the character of these holders is? 
Joseph Kaveski: Yes, Ted you have a number of questions, so let me try to address the questions. Right now we have 44,541,696 shares outstanding. There are roughly 9 million worth of warrants which could be exercised but that’s at $0.54 a share and they would have to take action. So the shares that are outstanding today are roughly 44.5 million shares. So that’s what we have and that’s what we’re calculating our earnings per share numbers based on. In terms of the shareholders, the recent shareholders, we have been told by them that they are patient, they are long-term shareholders and they are in this for the long run. And that’s what they have stated to us. So we believe them and we believe that they will be patient with us. Did I address your questions? Was there another question that I may have missed? 
Unknown Attendee: Yes, well that’s fine, but do you anticipate any more sales of common shares because you could make $10 jillion[ph] but if you have 25 jillion new shares, it’s not going to amount to much. 
Joseph Kaveski: No, I mean today the S-1 registered these shares for this latest equity offering and assets. 
Unknown Attendee: Okay. So you really not anticipate any other expansion of government stocks or equipment [ph]. 
Joseph Kaveski: No plans at this time but again recognizing there is 9 million warrants out there that they could exercise that $0.54 a share. But that was part of that equity deal, but we have no other plans for issuing any other shares at this point in time. 
Operator: [Operator Instructions] And we’ll go next to Peter Field with Merryfield Investment Management. 
Peter Field: You’ve answered my questions, so thank you for that. The comment is after watching you guys for many years as you know, it sounds to me like all your hard work and dedication and commitment is finally beginning to pay off, so congratulations and keep up the good work. 
Joseph Kaveski: Well thank you Peter, we appreciate that very much. 
Operator: And we’ll take our next question from Bill Harvey [ph]. 
Unknown Attendee: I think that the improvement in res was fairly decent and I think your forecast of $9.5 million this coming quarter is very significant. So I have a good feeling about that. The thing I’d like to ask you about is of course IntelliTube, the 4-foot version. It is much as the 2-foot version has already been proven. It seems almost [indiscernible] that the 4-foot wouldn’t be that difficult. So are there problems in getting that out or is it just that you want to make sure that it’s right. 
Joseph Kaveski: Bill, we know it’s right, but the reality is, is it wasn’t until this year that the LED chip suppliers had a chip available on the market that put out sufficient amount of light and do it very energy efficiently. And so that’s really what’s been holding us back and in a 4-foot version you need twice the light of 2-foot version so there we go. 
Unknown Attendee: Yes, based upon normal engineering that’s a fact. Do you think that along about the end of this the fourth quarter or beginning of 2013, we’re going to be there? 
Joseph Kaveski: That’s what we’re pressing hard for right now, correct. 
Operator: And that does conclude our question and answer session. I’d now like to turn the call back over to Brion Tanous for any additional or closing remarks. 
Joseph Kaveski: Actually it’s Joe Kaveski, and thank you Kevin, and I guess I would just like to offer a few closing remarks and that is first of all, I’d like to thank our shareholders that participated in voting their proxy at our Annual Meeting that concluded in July. And I’d also like to share - actually I am delighted to share with you that the Company will be participating in the Rodman & Renshaw Conference September 10 at 1:35 P.M. excuse me, when the conference will actually be held at the Waldorf Astoria in New York City.
 So hopefully you’ll be able to join us. And so with that, I would just like to thank everyone again for making time and participating in our call. Thank Energy Focus’ employees for their dedication and continuing hard work and wish everyone a great evening and I look forward to our next call. So thank you again and have a good evening. 
Operator: And ladies and gentlemen, once again that does conclude today’s call. We do appreciate everyone’s participation.